Operator: Good day, and thank you for standing by. Welcome to the Q2 2025 Great Lakes Dredge & Dock Corp. Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Eric Birge, Vice President of Investor Relations. Please go ahead.
Eric Birge: Good day, and thank you, everyone, for joining us. Welcome to Great Lakes Dredge & Dock Corp.'s Second Quarter 2025 Financial Results Conference Call. Before we begin, please note that certain statements made during this call are forward-looking in nature and are subject to various risks, uncertainties and assumptions. These factors may cause actual results to differ materially from those anticipated. For a detailed discussion of these risks, please refer to our filings with the Securities and Exchange Commission. We will also discuss certain non-GAAP financial measures, including adjusted EBITDA. Reconciliation of these measures to the most direct comparable GAAP measure can be found on our earnings release and on our Investor section of our website at investor.gldd.com, along with other supplemental operating information. Joining me on today's call is Lasse Petterson, our President and Chief Executive Officer; and Scott Kornblau, our Senior Vice President and Chief Financial Officer. Lasse will begin with a review of the quarter's key developments, followed by Scott, who will provide a detailed overview of our financial performance. Lasse will then conclude the call with commentary on the business outlook and market trends. With that, I will now turn the call over to Lasse.
Lasse J. Petterson: Thank you, Eric. Following strong financial results in the first quarter of this year, the momentum continued into the second quarter with solid results, driven by high equipment utilization and strong project performance, executing complex port deepenings and coastal restoration projects, leveraging the capability of our extensive fleet. We ended the quarter with revenues of $193.8 million and adjusted EBITDA of $28 million. Our dredging backlog remained strong at $1 billion, with 93% coming from capital and coastal protection projects, plus an additional $215.4 million in awards and options pending. Our successful bid strategy from last year resulted in a large number of project wins and a quality backlog, which will support high asset utilization and a solid revenue generation for the remainder of 2025 as well as providing a good base and revenue visibility for 2026. During the quarter, we received notice to proceed on the Woodside Louisiana LNG project. The award work is included in our second quarter backlog and along with 2 options that are included in our options pending award. Dredging operation on the project are expected to commence early 2026. A strong performance in Q1 and good outlook for the remainder of the year, contributed to our decision to initiate a $50 million share repurchase program in March as we believe our share price did not reflect the company's financial performance and long-term outlook. As of June 30, we have repurchased 1.3 million shares with a total spend of $11.6 million under this program. During the quarter, we upsized our revolving credit facility to further enhance liquidity which Scott will provide more details on. Moving to our new build program, which is nearing completion, our newest hopper dredge, the Amelia Island is expected to be delivered in the next few weeks, and we'll go straight to work on projects already in backlog. The Amelia Island and her sister ship, the Galveston Island have been specially designed for the shallow and narrow waters in our U.S. coast lines and are efficient tools for us to work on coastal protection projects such as beach restorations, wetland improvements and barrier island construction. The final vessel in our newbuild program, the Acadia, the first U.S. flagged Jones Act-compliant subsea rock installation vessel is also currently under construction and hit a key milestone with her launch from dry dock in July. Delivery is expected in the first quarter 2026 at which time she will go straight to work on Equinor's Empire Wind I project. The target markets for the Acadia include domestic and international projects for protection of critical subsea infrastructure, such as oil and gas pipelines and power and telecommunication cables and offshore wind installations. I now turn the call over to Scott to further discuss the results of the quarter, and then I'll provide further commentary around the market and our business.
Scott Lee Kornblau: Thank you, Lasse, and good morning, everyone. I'll start by walking through the second quarter, which resulted in revenues of $193.8 million, net income of $9.7 million and adjusted EBITDA and adjusted EBITDA margin of $28 million and 14.4%, respectively. Despite having 4 dredges performing the regulatory dry dockings at various times during the second quarter of 2025, revenues of $193.8 million increased $23.7 million from the prior year second quarter as every active dredge was working for the majority of the quarter. Current quarter gross profit and gross profit margin increased to $36.6 million and 18.9%, respectively, compared to $29.8 million and 17.5%, respectively, in the second quarter of 2024. The increase in gross margin is primarily due to improved utilization and project performance and a large number of capital and coastal protection projects, which typically yield higher margins. These projects accounted for over 88% of our second quarter revenue. The quarter-over-quarter gross profit increase was partially offset by higher drydocking costs. Current quarter's operating income of $17.1 million increased $2.5 million compared to the prior year's quarter operating income of $14.6 million. The year-over- year increase is driven by higher gross profit, partially offset by higher general and administrative expenses, mostly due to increased incentive compensation resulting from the strong first half of the year. Net interest expense of $4.2 million for the second quarter 2025 was flat compared to the second quarter of 2024, and second quarter 2025 net income tax expense of $3.4 million increased from $2.8 million in the same quarter of 2024 due to the stronger results. Rounding out the P&L, net income for the second quarter 2025 was $9.7 million, up from $7.7 million in the prior year quarter. Total capital expenditures, including capitalized interest for the second quarter were $64.6 million, made up of $19.8 million for the hopper dredge Amelia Island, $28.7 million for the construction of the Acadia, $8.8 million related to the addition of support equipment, with the remaining $7.3 million coming from maintenance and growth. Our previous full year CapEx guidance of between $140 million and $160 million, including capitalized interest, remains unchanged. Turning to our balance sheet. We ended the quarter with $2.9 million in cash and $5 million drawn on our revolver, which doesn't mature until the third quarter of 2027. And as Lasse mentioned earlier, in May, we executed an amendment to our credit facility, upsizing our revolver by $30 million to $330 million further enhancing our liquidity, which stood at $272 million at quarter end. Our balance sheet is in great shape with a trailing 12-month net leverage ratio of 2.7x, a weighted average interest rate on our total debt under 7% and no debt maturities until 2029. For the first half of 2025, we were $36 million free cash flow positive and as our newbuild program will be substantially complete at the end of the year, we expect this number to significantly grow starting in 2026. As I discussed on the Q1 earnings call, 2025 is a heavier-than-normal dry dock year for us. And during the third quarter, we will have 3 vessels at the dock at various times for regulatory surveys and repairs. Utilization will remain strong on the other vessels and with the Amelia Island scheduled to come online, we expect to see third quarter EBITDA higher than the second quarter. Despite the large number of dry docks, our expectation is that full year 2025 results will be the highest in company history for both revenue and net income. With that, I will turn the call back over to Lasse for his remarks on the outlook moving forward.
Lasse J. Petterson: Thank you, Scott. The administration continued to demonstrate strong and consistent support for the dredging industry. The U.S. Army Corps of engineers is operating in fiscal year 2025 under a continued resolution through September 30, which sustains the record funding levels established in the prior fiscal year's budgets. This support, along with our $1 billion backlog, which includes a robust mix of large and complex projects in the beach renourishment and port deepening markets enable us to continue to deliver on a very busy 2025 and provides clear revenue visibility extending well into 2026. We expect the 2025 dredging bid market to be at a normalized volume of approximately $2 billion, focused on coastal protection projects after very strong port-deepening bid markets in 2023 and 2024. As we look further ahead, we are beginning to see meaningful progress on the next phase of deepening projects, including New York, New Jersey, Tampa, New Haven and Baltimore, among others, with dredging work likely to commence in 2027. In response to early signs of potential delays in the U.S. offshore wind market, we proactively adjusted our strategic outlook for the Acadia. Over the past couple of years, we have expanded our target markets for the Acadia to include the safeguarding of critical subsea assets, including oil and gas pipelines, power transmission lines, telecommunication cables and international offshore wind farms, increasing our opportunities into a broader range of services we now refer to as offshore energy. The Arcadia is engineered to precisely deposit rock for the protection of subsea infrastructure against environmental forces, such as weather and potential acts of sabotage by hostile entities. We are actively pursuing engagement across these sectors, bidding work for 2027 and onwards, as we have between Empire Wind I and Orsted's Sunrise Wind, Acadia fully booked for work in the U.S. for 2026. In conclusion, we are confident of strong project execution and results for the remainder of the year, and our strong backlog gives us good revenue visibility for 2026. Our newbuild program is coming to an end, and we are looking at generating solid positive cash flows for 2026. And with that, I'll turn the call over for questions.
Operator: [Operator Instructions] Our first question comes from Joe Gomes of NOBLE Capital.
Joseph Anthony Gomes: Congrats on the quarter.
Scott Lee Kornblau: Thanks, Joe.
Joseph Anthony Gomes: I wanted to start off with just kind of take a look at the pace of awards. Is it running to expectations? Are you seeing anything being kind of pushed out to the right? Is there anything there that leads you to have any concern about the award level for this year?
Scott Lee Kornblau: Yes, Joe. So as we have talked about it at year-end, one, we expected a more normalized bid market for this year. That's playing out. We also knew as the current deepening cycle was starting to come to an end, there would be very little capital projects. That also is playing out. As Lasse said, we do see early signs of the next wave of deepening projects coming out in the next 18 months or so, which is a good sign. And then the third thing with our utilization with our backlog, we were not going to be able to participate in a lot of the bids that came out just because we didn't have availability. For the first half of the year, we did not bid on well over 50% of the projects that came out. One, we just didn't have the availability or two, it just didn't fit into the profile of the limited available that we have. So this market ebbs and flows. Our win rate is going to ebb and flow, and we have the backlog, like I have, it's just -- it's impossible for us to keep winning at the rate that we were winning over the last couple of years.
Joseph Anthony Gomes: Okay. And on the Acadia, obviously, I've mentioned you've guided fully booked in '26 and you're exploring other markets in '27, is there the possibility that, that you think that vessel could still be in the U.S. in '27? Are most of your efforts looking overseas in the international markets for '27?
Lasse J. Petterson: Yes. Currently, we are bidding a lot of work in Europe, and we're also looking at Asia for the remainder of this decade. The market in Europe is continuing to be strong. And it is probable or most probable that the vessel will be in Europe when we get -- enter 2027.
Joseph Anthony Gomes: Okay. And then one last one for me, kind of more 10,000-foot level. You guys have mentioned the newbuild program should be coming to an end here and all the positives for that. Is there anything out there maybe far out in the horizon right now that would make you reconsider and say, maybe we need to build more vessels? Or is this hey, we are definitely done here for whatever the next phase of years is?
Lasse J. Petterson: Well, fairly, we'll be looking at our fleet. It's my opinion. We have invested heavily into our hopper fleet. So we have now 4 very young modern hoppers in the market, plus we have 2 older ones, small ones. So we have a fleet that is updated and very competitive. Our cutter fleet is also large. We are continuously updating the equipment on board our cutters. So we -- at this point in time, we don't see any need for building any new dredges, but that may change over time. But I would say for the coming couple of years, it's not on the agenda. Scott, do you have any comments?
Scott Lee Kornblau: No, I think that's right. Joe, we've said we may look to do some strategic upgrades on some of the non-hopper fleet, but we're comfortable with the number of dredges that we have right now. We strategically invested over the last few years. And I think we're already starting to see the dividends paying off and continue to expect the same sort of results.
Operator: Our next question comes from the line of Julio Romero of Sidoti & Company.
Julio Alberto Romero: Maybe staying on the Acadia for a bit. What's your confidence level in Acadia delivery to you in the first quarter of '26 versus potentially later in the year? And then what's -- what would be your best guess as to Acadia revenue dollars in '26, if we assume it does get delivered on time and goes straight to work on Empire I?
Lasse J. Petterson: Yes. We have a high confidence in getting the vessel delivered in Q1. That is the date that the God is giving us. The acquisition of the yard by the Koreans Hanwha has resulted in additional resources coming to the yard and the progress is good. As I said, we are out of the dry dock, and it's now at the outfitting key at Philly Shipyard and they are looking at trying to improve the delivery date to an earlier delivery in Q1, but as we are speaking today, that is what the yard is telling us. Revenue expectations?
Scott Lee Kornblau: Yes. And Julio, so we are -- there are some options that will get exercised. We're still finalizing pricing on that. So I'm going to keep numbers a little closer there. But with the end of Q1 delivery and call it another month, 1.5 months of commissioning, we should see a little more than 6 months, give or take, of revenue. I think we have said that in the U.S., this vessel is definitely capable of getting well north of $100 million revenue for full year and again, call it, 7 months, give or take, with this year, just normal ebbs and flows and moves between jobs. I think you can get directionally correct on how we're thinking about it.
Julio Alberto Romero: Yes. Fair enough. And any update on potential wins for the offshore energy awards for the Acadia and a quick refresher on what the lead time is between bidding and award for offshore energy in Europe and in Asia?
Lasse J. Petterson: Yes. And the -- that lead time is much shorter in those markets. It's mature markets. Here in the U.S., we were fortunate to be able to book projects very early for the Acadia due to the newness and the novelty in the market and lack of vessels or U.S. vessel -- flag vessels. In the international markets, it's more looking at maybe a year, maybe less in lead time between award and you actually execute the project.
Scott Lee Kornblau: Yes. Julio, there has not been 1 project in Europe or Asia that we have bid on for '27 or beyond that's been awarded to anybody yet. .
Julio Alberto Romero: Okay. I appreciate the finer point on the lead time there in a year or less. That's very helpful. Just maybe on the base business, are you -- I think you touched on it earlier, but are you seeing any change in customer hesitation at all or any delays in decision-making on the base dredging business?
Lasse J. Petterson: Well, as you know, we are in a continued resolution, which is good and bad news. The Corps cannot bid new projects in this situation. But they have their revenue or the guarantee for the revenues similar to prior years. So that means that there's a lot of projects, which are being executed in this situation. We have to wait until the government or the Congress get together and make a new budget for next year. And then there's a number of new projects that should be included in that new budget. That is the, let's say, clarity that we have around it. There's a number of beach renourishment and reconstruction projects that are being bid at this point in time, and that market is very strong. And as you know, we perform extremely well on those projects on the East Coast.
Julio Alberto Romero: And I guess for LNG, I guess, is also what I was getting at, in the order cadence of LNG, any change from customer decision-making on that front?
Lasse J. Petterson: Well, we are currently engaged in 3 projects in the LNG space. There is a couple of other projects where it's either being done by other dredgers. There's probably 2 LNG projects other than the 3 that we are working on, that is going forward. And where our competition will be fully engaged. So beyond that, it's probably more a discussion on the general LNG market. Is there room for more capacity to be built in the U.S. and how can the export markets really absorb these volumes of LNG going forward.
Operator: Our next question comes from the line of Kevin Gainey of Thompson Davis & Co.
Kevin Wade Gainey: Nice quarter on a heavy dry dock.
Scott Lee Kornblau: Great. Thanks, Kevin.
Kevin Wade Gainey: I was hoping that maybe we could kind of touch on the Acadia conversations that you guys are having? And maybe at this point, what is more likely to happen? Is it going to be more international wind work or asset protection jobs and kind of how those conversations are unfolding?
Lasse J. Petterson: Yes. It's a very interesting market for us. And I think I've been saying on these calls that we always knew that the offshore energy business would be both U.S. and international work. The fact that we now have a slowdown in the U.S. as we are seeing means that the international work had to be addressed earlier. We started that almost 2 years ago to talk to clients that we have here in the U.S. about their European operations, and we have been bidding very actively for that work starting in '27 and onwards. It's offshore wind farms. There's large volumes of rock needed for the offshore wind farms. But also the power cable or transmission cables that are being installed in Europe requires a lot of rock protection. It is -- it's a large market, and we are actively engaged in bidding for that work. There's also been discussions around communication cables, the sabotage that's been happening in the Baltics and the, let's say, unprotected infrastructure that you see in the North Sea of oil and gas pipelines and there is discussions ongoing on how to protect those from sabotage. So there is several markets here, which are interesting for Acadia.
Kevin Wade Gainey: I appreciate that color. As far as -- I think you mentioned, Scott, dry docks are in Q3 going to be 3. Is there any setup for Q4 as well currently?
Scott Lee Kornblau: Yes. Right now, and again, the caveat these can still ebb and flow left or right. we have 2 planned at various times, not necessarily full quarter during Q4. And then again, I'll answer the next question you didn't ask because it was such a heavy dry dock year this year, we expect to see a lower-than-average dry docking schedule for 2026.
Kevin Wade Gainey: And just to clear up on cash flow. What was the operating cash flow in Q2? And do you have any thoughts about second half cash flow?
Scott Lee Kornblau: Yes. Q2 operating cash flow was right around 30 -- I'm sorry, about 60-ish for operating cash flow. And as I mentioned on the call, free cash flow for the first half of the year, well above $30 million. We expect to see -- I'm not going to say the numbers will be the same, but this year is going to look like a normal year. The book end quarters, Q1 and Q4 will be the strongest, and then the middle ones something less. So we saw that in the first half of the year. My expectation is we'll see that in the second half of the year. I think we do still have to finish up the payments on the Amelia Island. We obviously have some more to do on the Acadia for this year. So we still have some CapEx this year. My guess is if you just kind of look at total cash flow second half of the year will be probably flattish, give or take. And then as we talked about next year as the new build program winds down at the beginning of the year, that's when we really start generating cash.
Operator: [Operator Instructions] Our next question comes from the line of Jon Tanwanteng of CJS Securities.
Unidentified Analyst: It's Jeremy on for John. How should we think about capital allocation beyond CapEx, given the stronger performance, has your preference shifted more towards repurchases versus debt pay down?
Scott Lee Kornblau: No. I think with where we're at now, I think we kind of go back to the priorities we had been stating all along. Let's get through the newbuild program and then let's start delevering the newbuild -- I mean, the buyback program we put in place was more a reaction to the softball that the market gave us where -- we just saw this huge depression in the stock price. So put the program in place. We're able to take some swings at it at a very depressed price, now we'll -- as long as we see the price where it's at or higher, not that we think it's properly valued now but we'll just go back to the other priority. The program is still in place. If we see another huge disconnect, we can always start nibbling again. But right now, as I see it, let's get through the new build program and then let's start delevering.
Unidentified Analyst: Makes sense. And then can you just discuss the expansion of the credit facility and kind of the rationale behind doing so?
Scott Lee Kornblau: Yes. A couple of things drove that. We did have on our second lien paper the ability to upsize it by $50 million that expired during the second quarter. We weren't going to take it, but we did get -- have the opportunity to upsize the revolver at much more favorable pricing to the tune of $30 million, we did it Also, with the LNG work that we have and the progress we're making on the offshore energy, those projects typically require letter of credits as opposed to the base dredging business, which are usually surety bonds. So the revolver for us is not just a mechanism to borrow cash, it's also the facility that we use to issue letter of credits, you'll see we're going to issue our 10-Q later today. We have roughly $60 million of letter of credits outstanding right now to support the LNG and offshore energy backlog.
Operator: I'm showing no further questions at this time. So I would now like to turn it back to Eric Birge for closing remarks.
Eric Birge: Thank you. We appreciate the support of our shareholders, employees and business partners, and we thank you for joining us for our discussion today about the important developments and initiatives in our business. We look forward to speaking to you during next quarter's earnings. Thank you. .
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.